Operator: Good day, and welcome to the SeaWorld Parks & Entertainment First Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Matthew Stroud. Please go ahead, sir. 
Matthew Stroud: Thank you, Chuck and good morning, everyone. Welcome to SeaWorld's first quarter earnings conference call. Today's call is being webcast and recorded. A press release was issued this morning and is available on our Investor Relations website at www.seaworldinvestors.com. Replay information for this call can be found in the press release and will be available on our website following the call. Joining me this morning are Marc Swanson, Chief Executive Officer; and Elizabeth Gulacsy, Chief Financial Officer and Treasurer. This morning, we will review our first quarter financial results and then we will open up the call to your questions. Before we begin, I'd like to remind everyone that our comments today will contain forward-looking statements within the meaning of the federal securities laws. These statements are subject to a number of risks and uncertainties that could cause actual results to be materially different from those forward-looking statements, including those identified in the Risk Factors section of our Annual Report on Form 10-K and Quarterly Reports on Form 10-Q filed with the Securities and Exchange Commission. These risk factors may be updated from time to time and will be included in our filings with the SEC that are available on our website. We undertake no obligation to update any forward-looking statements. In addition, on the call we may reference non-GAAP financial measures and other financial metrics such as adjusted EBITDA and free cash flow. More information regarding our forward-looking statements and reconciliations of non-GAAP measures to the most comparable GAAP measure is included in our earnings release available on our website and can also be found in our filings with the SEC. Now I would like to turn the call over to our Chief Executive Officer, Marc Swanson. Marc?
Marc Swanson: Thank you, Matthew. Good morning, everyone and thank you for joining us. We are pleased to report another quarter of record financial results. While our first quarter performance was strong and continued our momentum from 2021, we have scope for further recovery as it still does not yet reflect a normalized operating environment. In particular, international and group-related visitation is improving, but was not back yet to pre-COVID levels and we have opportunities to improve staffing levels to capture even more in-park spending demand. Looking ahead, forward demand indicators are encouraging. Our past base as of April 30, 2022 is at a record high for this point in the season and 21.9% higher than at this point in 2019, which was the previous high. International and group business is returning and we expect our pricing power and efficiency initiatives to continue to offset cost pressures and allow us to continue to expand margins. We are also thrilled by our guests reception to the new rides and attractions we've opened to-date and we are particularly encouraged by the early reviews and results from our new Sesame Place San Diego Park, which is our first new park since 2013. As we have demonstrated, we have systematically improved our business model starting before and during the pandemic period and we expect these improvements to continue to be reflected in our operating and financial results. While we still have opportunities to take advantage of areas where we can certainly improve based on the work we have done to-date the work we are currently undergoing and the specific plans we have for the future, we are confident we can continue to deliver additional, operational and financial improvements that we expect will lead to meaningful increases in shareholder value. Before moving to Elizabeth and her update on financial performance, let me comment on a few more items. First, let me comment on our balance sheet. Thanks to important decisions we made over the last two years and the hard work of our entire team, we are in the fortunate position to have an extremely strong balance sheet. Our LTM net total leverage ratio is below 2.5 times and we have over $745 million of total available liquidity, including $380 million of cash and we expect to generate significant additional cash as we are entering the high cash flow generation part of the year. This strong balance sheet provides a great advantage and gives us flexibility to continue to invest in and grow our business, make opportunistic investments and to thoughtfully return capital to our shareholders. Second, let me update you on the new rides and attractions for 2022. In February, we opened the Ice Breaker Rollercoaster at SeaWorld Orlando. In March, we opened a Tidal Surge Screaming Swing at SeaWorld San Antonio; the Iron Gwazi Rollercoaster at Busch Gardens, Tampa Bay; the Reef Plunge Waterslide at Aquatica, Orlando; the Emperor Rollercoaster at SeaWorld San Diego; the Pantheon Rollercoaster at Busch Gardens, Williamsburg; and the Riptide Race Waterslide at Aquatica, San Antonio. In April, we opened Big Bird's Tour Bus ride at Sesame Place Philadelphia. And later this month, we will open Water Country USA in Virginia for its traditional operating season featuring its all-new Aquazoid Amped water slide. And at Adventure Island Tampa, we will open the Rapids Racer and Wahoo Remix water slides. As I've said before, we believe this is one of our best line-ups ever for rides attractions and park enhancements and we are excited as we head into our busy summer season with our new attractions and great events planned, including guests favorites, Electric Ocean at all SeaWorld Parks and summer celebration at all Busch Gardens Parks. We invite everyone to come and enjoy what we have to offer this summer. Third, we continue to realize double-digit pricing increases in our admissions and in-park products. Our admissions per cap grew 2.5% in the quarter. Higher realized prices were partially offset by a higher mix of pass visitation, which comes at a lower relative per cap and the impact of park mix. We had normal operations in Q1 of 2022, including parks operating that generate lower relative per caps compared to Q1 of 2021 where some of our parks that would normally be operating were closed or only partially operating. In-park per caps grew 2.4% in the quarter. Higher realized prices were offset by less than optimal staffing levels, which impacted our ability to fully capture strong consumer demand as well as pass and park mix. Going forward, we expect to continue to grow admissions and in-park per caps by taking advantage of the pricing environment and continuing to enhance and execute on our pricing and product strategies and capabilities. Fourth, like many other companies, the current labor market continues to present challenges, but we are working hard to find new and better ways to attract, motivate and retain talent, including expanding our use of international workers at our parks something that we didn't take advantage of as much as our competitors may have in the past. We are optimistic these initiatives will better position us going forward, as we enter to and respond to the expected demand of the busy summer season. Fifth, we continue to work on cost reduction and efficiency opportunities, including continuing to eliminate unnecessary and redundant costs, optimizing our staffing and spend levels and investing in and leveraging technology. These efforts will allow us to reduce our labor requirements, increase throughput and speed of service and improve overall guest experience. Sixth, we continue to make progress on our new mobile application, which guests are utilizing to improve their in-park experience. So far, there have been approximately 1.4 million downloads of the app and a growing percentage of our guests are using and engaging with the app. We are seeing an increase in average transaction value for food and beverage purchases made through the application, compared to point-of-sale orders, and we are seeing double-digit percentage revenue penetration across other in-park products that guests are purchasing through the app. We are in the very early innings with our application, and we are looking forward to sharing more of the progress we make in this area in the coming quarters. We now have our CRM system up and running and are in the early stages of harnessing the power of the system. We have already benefited from increased engagement with our guests and we have begun early piloting and testing of personalized communications. We expect value enhancing contributions from this new powerful tool that we were admittedly behind the curve and implementing. We also very much look forward to sharing more about our CRM and its expected value creating impacts over the coming quarters. Finally, we continue to make progress on our inorganic initiatives -- growth initiatives related to hotels, new parks and international expansion and expect to have more to share later in the year. We repurchased approximately 1.5 million shares of common stock at a total cost of approximately $109.9 million during the first quarter of 2022, and we completed our previously authorized share repurchase program by purchasing an additional $140.1 million in the second quarter of 2022. Overall, we are proud to report record net income on a trailing 12-month basis of $292 million and record adjusted EBITDA on a trailing 12-month basis of over $702 million, which was achieved with attendance of only 21.4 million guests well below our historical high of over 25 million guests that we achieved in 2008. These achievements reflect the extraordinary efforts of our teams to operate our parks despite the challenging environment we faced, and continue to position this company for revenue growth and increased profitability. As we have demonstrated in the first quarter and throughout last year, we believe the strategies we have developed and refined over the past few years along with the actions we have taken since the beginning of the COVID-19 pandemic will continue to lead to significantly improved financial results for the company. With that, I would like to turn the call over to Elizabeth to discuss our financial results in more detail. Elizabeth?
Elizabeth Gulacsy: Thanks, Marc, and good morning, everyone. As Marc mentioned, our results of operations for the first quarter of 2022 and 2021 continue to be impacted by the global COVID-19 pandemic, due in part to a decline in both international and group-related attendance in both periods. The first quarter of 2021 was also significantly impacted by capacity limitations, modified and limited operations, temporary park closures and decreased demand due to public concerns associated with the pandemic. I'll provide commentary today around our financial results compared to 2021. However, due to the impact the global COVID-19 pandemic had on our 2021 financial first quarter results, we provide a comparison of some of our key results versus both 2019 and 2021 in our earnings release charts and will do so as well in our Form 10-Q. During the first quarter we generated record total revenue of $270.7 million, an increase of $98.8 million or 57.5% when compared to the first quarter of 2021. The increase in revenue is due to an increase in attendance of 53.7% and an increase in total revenue per capita of 2.5%. Attendance benefited from an increase in demand and operating days resulting from a return to more normalized operations when compared to the first quarter of 2021, which included COVID-19-related impacts. Our pricing and product strategies continue to drive higher realized pricing resulting in total revenue per capita in the quarter of $79.54 compared to $77.63 in the first quarter of 2021. The increase was driven by improvements in both admissions per capita and in-park per capita spending. This is the highest total revenue per capita we have ever reported in the first quarter. Admissions per capita increased by 2.5% to $44.33 and in-park per capita spending increased by 2.4% to $35.21 in the first quarter of 2022 compared to the first quarter 2021. As Marc discussed, the increase in admissions per capita was primarily due to the realization of higher prices in our admission products, resulting from our strategic pricing efforts and was largely offset by the impact of our admissions product mix, due in part to an increase in pass visitation and the impact of park mix when compared to the prior year quarter. In-park per capita spending was also impacted by less than optimal staffing during the first quarter 2022 which impacted our ability to fully staff and/or open some of our food and beverage and retail outlets. Operating expenses increased $45.2 million or 41.9% when compared to the first quarter of 2021. The increase in operating expenses primarily results from an increase in labor-related and other operating costs, due to a return to more normalized operations and an increase in operating days and was partially offset by structural cost savings initiatives when compared to the first quarter of 2021. Operating expenses as a percent of revenue were 56.5% in the first quarter of 2022 compared to 62.7% in the first quarter of 2021. Selling general and administrative expenses increased $14.6 million or 46.4% compared to the first quarter of 2021. The increase is primarily due to increased marketing related costs, partially offset by the impact of cost savings and efficiency initiatives. The increased marketing-related costs result from a return to more normalized operations as we substantially reduced marketing-related costs in the prior year quarter. Selling general and administrative expenses as a percent of revenue was 17% for the first quarter 2022 compared to 18.3% for the first quarter of 2021. We generated a net loss of $9 million, the smallest net loss we have reported in a first quarter. This compares to a net loss of $44.9 million in the first quarter of 2021 and we generated record adjusted EBITDA of $65.9 million, an increase of $40.8 million when compared to the first quarter of 2021. The improvements in net loss and adjusted EBITDA for the first quarter 2022 were primarily impacted by an increase in attendance and total revenue per capita when compared to the first quarter of 2021. Now turning to our balance sheet. Our current deferred revenue balance as of the end of the first quarter was $208 million, an increase of approximately 7.6% when compared to March of 2021 which included the impact of some COVID-19-related extensions. Excluding the extensions in the prior year quarter, deferred revenue would have been up approximately 38.9% compared to March of 2019 deferred revenue increased 37.5%. As Marc mentioned, at the end of April 2022, our pass base was up approximately 22% compared to April of 2019, which was our previous April record, a very healthy indicator of consumer demand for our parks and the coming summer season. This is especially encouraging as we are currently in a peak pass selling season the spring and early summer. Importantly we're also seeing a higher mix of premium passes in our pass base compared to prior year as our pass holders continue to recognize the value and benefits of our higher tiered products. We also continue to see the impact of our pricing strategies with stronger realized prices on our pass sales. And our current average pass price is up a double-digit percentage compared to 2021. In the first quarter, we continued to opportunistically repurchase shares, buying approximately 1.5 million shares of common stock at a total cost of approximately $109.9 million. And in the second quarter, we repurchased another two million shares at a total cost of approximately $140.1 million, which now completes our previously authorized $250 million share repurchase program. As Marc mentioned, we have a very strong balance sheet position. As of March 31, 2022, our total available liquidity was approximately $745.3 million, including $380 million of cash and cash equivalents on our balance sheet and $365.3 million available on our revolving credit facility, which was undrawn. Cash flow from operations was a record $70.8 million for the first quarter of 2022 and free cash flow was a record $35.7 million for the first quarter of 2022. We spent $35.1 million on CapEx in the first quarter, of which approximately $23 million was on core CapEx and approximately $12.1 million was on expansion ROI projects. Looking ahead for 2022, we plan on spending approximately $150 million in core capital expenditures and another $30 million to $50 million in gross ROI capital expenditures. We are investing in rides, attractions, events and habitats to continue our strategy of having something new and compelling across our parks each year. We have more one of a kind world class attractions that we are excited to unveil when the time is right. We are also investing in and enhancing our food and beverage and retail venues across our parks, including offering a higher quality offering and more variety. We're investing in technology to make our business more efficient and to enhance our guest experience. And we are investing in our inorganic growth strategies to further drive shareholder value. Now, let me turn the call back over to Marc who will share some final thoughts. Marc?
Marc Swanson: Thank you Elizabeth. Before we open the call to your questions, I have some closing comments. In the first quarter of 2022, we came to the aid of over 300 animals in need, bringing the total number of animals we have helped over our history to over 40,000 including bottlenose dolphins, manatees, sea lions, seals, sea turtles, sharks, birds and more. During the quarter, we announced that we will expand our manatee critical care facility in Orlando to add more capacity in the State of Florida to care for manatees in need. The build-out will include a new three-pool complex that adds 200,000 gallons of water for manatee response and a new lift floor to an existing pool that doubles the size of the critical care space at SeaWorld's rescue Center in Orlando. Upon completion, SeaWorld Orlando will have the ability to care for 60 manatees in need, the largest capacity in the state of Florida and in the US. The expansion is necessary to care for the record number of manatees in crisis due to the unusual mortality events. I'm really proud of the team's hard work and their continued dedication to these important rescue efforts. I want to thank them and all our ambassadors for all that they do to operate at our parks in this current environment. We are excited about 2022, particularly as we head into our busy summer season. We have an exciting lineup of new rides, attractions and events that we believe is one of our best offerings ever. We recognize that we have made good progress over the past year but we continue to believe there are significant additional opportunities to improve our execution, take advantage of clear growth opportunities and continue to drive meaningful growth in both revenue and adjusted EBITDA. We continue to have high confidence in our long-term strategy and in our ability to deliver significantly improved operating and financial results that we believe will lead to meaningfully increased value for stakeholders. Now let's take your questions.
Operator: We will now begin the question-and-answer session [Operator Instructions] And the first question will come from Steve Wieczynski with Stifel. Please go ahead. 
Steve Wieczynski: Hi, guys. Good morning. So I want to ask about your pass days, which is obviously, running at record highs at this point. And I'm wondering, if you can help us think about maybe what percentage of your visitation in the first quarter was driven by passes. And then, how you have been expanding your outreach to potential customers that you might not have targeted before? And then maybe also, how you are thinking about total per caps moving forward as your pass base grows. So that's kind of a three-part question, sorry.
Marc Swanson: Hi, Steve, it's Marc. I can take that. So look we're really pleased with our pass base as you heard in our remarks, up approximately 22% for this time of the year. So, very pleased with that. We think obviously, our passes offer a tremendous value with our lineup of attractions, events and then all the refreshes we've made in the different parks. So lot of reasons to come out and visit and obviously, a pass is one of the most effective ways to do that. Pass visitation, as a mix of our attendance is at about 48%, for the first quarter higher than normal in part because people are coming. We're selling more passes. And then obviously, we still have a little bit of a drag there from international and group business. But certainly, we're pleased with our pass base. We're going to continue to promote those products and outreach to people to come and visit the park. As far as like, how we think about the per cap the third part of your question is, look pass holders we know deliver more total revenue on a yearly basis. And obviously, we're focused on driving total revenue. Having said that, we certainly believe we can continue to drive per cap growth even with a higher pass visitation. And there's a number of initiatives we have in place to do that. And we're getting pricing, you heard me talk about that, we're getting pricing and we believe we continue to -- with our pricing power and other initiatives continue to drive that. So we like where we stand, and look forward to having those folks come out and visit more often. 
Steve Wieczynski: Great. Thanks, Marc. And then second question. Your balance sheet is obviously, in very good shape at this point. I'm wondering, with your share authorization now having been exhausted, how do you balance returning capital to shareholders moving forward. And I guess, what I might be getting at here is, there's obviously a fear out there around the economy and potentially going into some type of slowdown. And does that change your view of, how you return the -- you return capital to shareholders? 
Marc Swanson: Yes. Thanks, Steve. So as noted, we again bought back a number of shares in Q1 and then completed that basket as you noted in April of this year. So we'll continue like we've always said to work with, our Board and our advisers on what is the highest and kind of best use of cash from an ROI standpoint. And I think, we've demonstrated our ability to do that and we'll continue to do that.
Steve Wieczynski: Okay. Great. Thanks, Marc. Appreciate it.
Marc Swanson: Sure.
Operator: The next question will come from James Hardiman with Citi. Please go ahead. 
James Hardiman: Hi, good morning. So, maybe following up on Steve's last question there. I mean, what can you tell us this is sort of an open-ended question but -- and I have a specific question but state of the consumer, right? I don't know that I've ever seen as much divergence in terms of peers and some of the economic data versus really excellent results like, what you guys reported this morning. So maybe speak to, what you're seeing beyond the reported metrics. And then maybe more specifically, what can you tell us about I guess, most notably visitation momentum within the quarter and anything you want to give us on April. I think the fear is that, as inflation has worsened and some of the war issues have cropped up that the consumer is deteriorating. Maybe you can tell us otherwise or maybe you support that view. Thank you.
Marc Swanson: Yes. Sure, James this is Marc. I can take that question. Look obviously, as you noted, we reported strong revenue and attendance and per cap growth in the quarter. So those are -- we're very pleased with that. So we're seeing consumers coming out spending in our parks. We talked about the double-digit pricing that we've seen in our products. So still coming out and spending. I think it just points to the value of visiting parks like ours. And what I can tell you in April, is that continued, I can't give you specific numbers obviously but we continue to see people visiting and people coming out and spending. And again, I would just come back to really the value that we offer as an offering to come and visit and the resiliency, of our business even if times were to get tough. I like where we stand. And if you look historically, when there has been recessionary activity, we have generally outperformed the industry. So we like the position we sit in and we look forward to continuing to provide a great product for people coming out to visit.
James Hardiman: Got it. And then, I guess, my second question here. You talked a number of times in the prepared remarks about labor and maybe some headwinds from in-park per capita perspective, people not spending based on sort of maybe suboptimal levels of labor. What does that look like right now, specifically, from a guest experience standpoint? Are the lines too long? Are there unmanned food counters? And then from a financial perspective what does that look like as labor normalizes? Should we be anticipating a positive from better in-park spending, but offset to a degree by higher labor costs as we move forward? 
Marc Swanson: Yes. Thanks. What I can tell you there is, we certainly called it out. And look, there's times when we don't have optimal staffing in the parks. And I view that as, again, a tailwind. And it's not every day and it's not every park, obviously, but there's times we know we can do better and our goal is to have a good guest experience and we know there's times we can do better. So we've done some things here that we think are going to put us in a better position for the summer and to capture the demand we're seeing really around the in-park spend. So that's our goal. And I view it as really another tailwind that, had we had a more optimal staffing level in Q1, we would have driven, I believe, more revenue and higher in-park per cap. As far as the labor that comes along with it, I mean, sure, there would be some additional labor. But, again, I think the revenue that we left on the table, perhaps, would more than offset that significantly and still is a very strong margin profile.
James Hardiman: Makes sense. Thanks Marc.
Operator: The next question will come from Chris Woronka with Deutsche Bank. Please, go ahead.
Chris Woronka: Hey. Good morning, everyone. Maybe a follow-up on Steve's last question. As we think about going into peak summer -- how -- where do you think you are on hiring in terms of having what you have lined up? And what are the -- are there any potential risks to that with more hiring going on across the space?
Marc Swanson: Yes Hey, Chris, its Marc. I can take that question. So one of the things I called out which is a little bit newer to us, not entirely new. But we did not use the international program quite as much as some of our competitors did in the past. And this year we're using it in all our markets. And so, I think that's one of the reasons we feel optimistic about being in a better spot. Those folks will start to show up here for the summer. So if that holds true, which it should, obviously, they'll show up and we'll be in a better staffing position to capture that demand that I've talked about. And, look, we -- even if you go back to Q1, we still grew revenue pretty significantly. So, again, I view this as a tailwind. We want to capture more of that demand and we know we need to have more things open and things like that and we'll do that. So it should be a tailwind.
Chris Woronka: Okay. Very helpful. And then, as a follow-up, is there any way to kind of triangulate the in-park per caps between pricing increases and just higher volume and whether, we're talking food and beverage or retail. Is there any way to just directionally think about that?
Marc Swanson: Yes. I'll try to take a stab, if I understand your question correctly. I mean, what we -- what I talked about in my prepared remarks is, we are seeing double-digit pricing increases on the in-park products in most cases. So that's good. So we're getting the pricing. We have the pricing power. People are coming out and spending. So that continued into April, as I mentioned. Where then that -- there's a little bit of a drag on that number obviously is just from the mix of pass holders visiting, who spend more in total revenue, but have less per visit and then we have some other, as I mentioned, just not having everything open that we'd like to, would have helped as well. So those things are 00 we'll have hopefully more things up in the summer, which should help us. And then, at some point, the pass mix probably normalizes over time. And also, the international attendance should be a positive for us.
Chris Woronka: Okay. Very good. Thanks, Marc.
Marc Swanson: You’re welcome.
Operator: The next question will come from Ben Chaiken with Crédit Suisse. Please, go ahead.
Ben Chaiken: Hey, everyone. What's the appetite for more Sesame Place projects. My understanding is, these are pretty high ROI and high-margin projects. I'm just curious in your thought process.
Marc Swanson: Hey, Ben, yes, thanks for the question. Look, we were really thrilled to get the park up in San Diego. It opened really late in the quarter. We've been excited. It's a beautiful park. I was out there for the opening and it just looks great. And we know that's a good product. And certainly we have the -- under our contract ability to do more of those. And I think that's something that we are, as I said, are looking closely at. I don't have anything to share specifically today, but it's something that we definitely are reviewing and looking at and if and when we have something to share, we will do that. But we like the product. We like those type of parks.
Ben Chaiken: And do you think conversions like this -- I think, this one previously was in Aquatica, does that make the most sense for you, or would you start from scratch as well?
Marc Swanson: It could be a conversion like we have -- did in San Diego or it could be a brand-new thing. I think we would look at all those options. It could be an expansion of one of our existing parks as well. So, there's a couple of different ways to look at it. And I think those are all kind of in the options that we're considering.
Ben Chaiken: Got you. And then on the per cap side, however, you want to think about it, whether it's just total per caps or admission per caps, I think you mentioned there was kind of a pass mix slight headwind and also a park mix slight headwind. Is there any way to kind of like decipher that or to separate those? Maybe what was the park mix headwind? Can you quantify?
Marc Swanson: Sure. I don't know that I can give you a quantification. What I can tell you is, the pass mix was up several hundred basis points and so again, we know that more total revenue. but less per visit. So that just naturally has -- just the math on that is going to impact your per cap. But again, we get more total revenue over the long term. On the park mix is a little bit more relative to the parks we have opened now in 2022 in Q1. The parks that would normally be open were open. If you go back to Q1 of last year, we didn't have everything open or the things that were -- some of the things that were open were more restricted. So, as those parks came online this year at kind of full operation just the mix of some of those parks had a little bit of a lower per cap relative to some of our other parks that are up. And so again, that just had a natural impact just from a math standpoint to pull the per cap down a little bit.
Ben Chaiken: And just to be totally clear, are you saying the beginning of the quarter had that headwind or the end of the quarter had that park mix?
Marc Swanson: Yes. I'm not going to comment beginning -- or I mean just during the quarter. So, I mean you can kind of go back and look at SeaWorld California, when it was opened in 2021 versus 2022. There were some differences there in its operating schedule, similarly to -- similarly at Busch Gardens Williamsburg.
Ben Chaiken: Okay. Thanks.
Operator: The next question will come from Barton Crockett with Rosenblatt Securities. Please go ahead.
Barton Crockett: Okay. Great. Thanks for taking the question. I wanted to ask around the attendance opportunity and also a little bit around kind of the cyclical environment. So, with attendance you've got 15%, let's say kind of left on the table from international and group sales. And my question is, if those come back are going to be I think pretty close to our all-time high. So, how much room is there for more attendance in your parks. Some of your peers like Six Flags is kind of pivoting to less attendance higher per caps. Disney feels like they're kind of talking in a similar kind of vein in some ways. So there is ceilings in this industry? And where do you guys see your ceiling? How much room do you have to go before you kind of hit it?
Marc Swanson: Yes. No good thing. Barton, thanks for the question. Look, a couple of things. There's a lot of room to grow our attendance. And I said in my prepared remarks, I don't know, if you caught it, but back in 2008 with one less park, we did over 25 million in attendance. And if you look at 2019, we only did 22.6 million. So, you just take the math between those two numbers that's several million. That's almost 2.5 million in attendance. Just to get back to what we once did that's pretty meaningful growth, right and when you flow that through at an average per cap. And then, if you consider that the rest of the industry in most cases has grown attendance over time, we've kind of growing at sometimes, but still not back to what we once did in 2008. And so, there's I think a lot of opportunity to grow our attendance and that certainly is our goal. And then on top of that, we've got the other initiatives around new parks, which I talked about. We added one this year in San Diego obviously, and our plan would be to add more of those, more things going forward. We got the international expansion opportunities. So -- we got hotel opportunities. So there's a series of I would say tailwinds ahead of us that can continue to drive performance. I would just remind you too, we -- on your kind of question about less attendance higher per caps, I mean we rarely operate at full capacity at our parks. So, yes, there's a few days every year that we have to close down obviously. But we have room in most cases for more people. So, our goal would be to try to drive more attendance to our parks and that the flow-through from that incremental visitation is strong.
Barton Crockett: Okay. That's helpful. The other question I was curious about was, with looking back at kind of past recessions, SeaWorld's been around through some of that under different management obviously. But you're kind of between them, right? You're in Orlando. So you have kind of the destination traffic, which can be pretty meaningfully hit that kind of travel traffic that comes to Disney in their Universal and spends a day at SeaWorld. That can be hit pretty hard in a recession. The local kind of regional kind of traffic tends to be more kind of durable in a recession. You guys have a mix of both. So how do you see your kind of exposure to recession just looking at what's happened historically and how you feel about your setup right now? If we get into one what do you think – how would you see yourself guys kind of set up for that? 
Marc Swanson: Yes. Good question. So we – look, historically when you go back and you look at kind of the recessionary periods in 2001, 2002 and then 2008, 2009, in 2001, 2002, we actually saw growth and then in 2008, 2009, we grew a little bit in the one year and then had a small decline in the other year. So we like our ability to weather recessions. I think in general, we've outperformed the industry in those types of periods. So we like our ability. What I would – just to unpack a little bit one of the advantages that we have and you kind of alluded to it is we are in both regional and destination markets. But even in Orlando, while it's a destination market, we get a good portion of our attendance over 50% of the attendance for the most part that is in that range is coming from people in the state of Florida so – or even more local than that. So the state is obviously growing and we like our position here. I think maybe relative to others, I don't know specifically, but I like that setup for us that we get more local attendance. So that's kind of a good playoff between local or regional parks and destination. And just as a reminder, we've said this before, the vast majority of our attendance is within a driving distance or drives to our parks if you will. So again, I think that sets us up well for recessions if one were to occur. 
Barton Crockett: Okay. That’s great. Thank you.
Operator: The next question will come from Michael Swartz with Truist Securities. Please go ahead.
Michael Swartz: Hey, guys. Good morning, everyone. I maybe just wanted to follow up on the new Sesame Place park in San Diego. I think you had mentioned that you had seen some pretty strong results out of that albeit less than I think a month's operation. But can you give us a little context into what you've seen there? Maybe how you measure success? And then just a follow-up to that is was the additional overhead from that park material during the quarter? 
Marc Swanson: Yes. I mean look we opened the park at the end of March. And obviously, we would have had some cost in there to get it open and things like that. But I don't know that I would consider anything material. There were more operating costs obviously. But we like what we're seeing out of that park. Like the product. Obviously, I was out there. People are seeing what that type of product can deliver. So we're excited about the park out there.
Michael Swartz: Okay. Thanks. And then just maybe digging a little further into the season pass I think you've said that it was kind of diluted the per caps in the quarter. But just in terms of maybe visitation trends on season pass has anything changed materially maybe over the past six to 12 months versus what you've seen historically? 
Marc Swanson: Yes. I mean look it's – as I mentioned, it's a greater mix of our attendance here in Q1 of roughly 48%. So it's higher than kind of the mix we've seen in the past by several hundred basis points. And some of that is because we have less international attendance and some of that is we're selling more passes.
Michael Swartz: But just in terms of visitation on season pass I'm just talking about how many times someone visits in a single year with a single pass. 
Marc Swanson: Yes it is up.
Michael Swartz: Okay. Thanks.
Operator: The next question will come from Paul Golding with Macquarie. Please go ahead.
Paul Golding: Great. Thanks so much for taking the question. I just wanted to dig a bit deeper into the group versus international. I just wanted to see if there's any color you could give around anything structural happening there? It seems like as sort of makes logical sense we're seeing group come back and international, presumably waiting for testing requirements to abate. I guess any pricing color you could give around group that you're seeing in terms of is it benefiting to the same extent that pass pricing is increasing just relative to its own segment prior? And any leading indicators on international? So sort of those two areas. Thanks so much.
Marc Swanson: Yes no problem Paul. So what I would tell you is I kind of – I talked about this, the international is improving still down. But if you think about – for the quarter it was down in the 75% range. As we move into April that's improved but still negative obviously. The group business is coming back at a stronger rate. And we feel pretty good about where that's trending and how we think about that on a go-forward basis. Just being out in the park I've seen more field trips and things like that which is cool to see. As far as your question on pricing, I think similar to our other products. I mean we're taking pricing and so that would include group tickets as well. And then on the forward indicators, we don't have massive -- massive amount of indicators. But obviously what we're seeing some of our bookings in Discovery Cove, which is generally a pretty popular place with international guests. We like, what we're seeing there.
Paul Golding: Great. And on Discovery Cove which was at a higher price point to start do, you still have pricing levers there? Are you still benefiting, even at that sort of more intimate experience level?
Marc Swanson: Yeah. I would say that's certainly one area, one park where we have taken a number of pricing initiatives. And I think we certainly feel like there's opportunity there. It's just a world-class experience that, I would argue, it's priceless basically. And the exclusivity of it, the private nature of it or more intimate experience, is just a really -- we know people are willing to pay for things like that. And it's a great experience. So yes, we have opportunity there.
Paul Golding: Okay. Thanks so much.
Marc Swanson: Sure.
Operator: And the last question will come from Philip Cusick with JPMorgan. Please go ahead.
Philip Cusick: Hi guys. Thank you for getting me in. I know you sort of pushed this enough on the call, but on the hotel thinking, anything you can give us about your thoughts maybe on or off balance sheet, running the hotels yourself or working with an outside company as well as timing when we might hear more about that? Thank you.
Marc Swanson: Yeah. Look, I think the different options you laid out all of those things are under consideration. When we have something to report, we certainly will. What I would point you to, I think is one advantage is we have land right? And so if you look across our parks there are some great locations to put a hotel. And I think just that to me is, one of the key things do you have the right location and the right land. And I think we definitely have that.
Philip Cusick: Okay. Maybe one more if I can, the buyback is pretty interesting. Have you reviewed at all the optimal leverage level, in the business, as we sort of come out of what was a maybe more violent downturn in revenue, than you've seen before?
Marc Swanson: Yeah. Our leverage ratio, as I mentioned is, just below, 2.5 times, and we're comfortable there. Not to say we want to be comfortable in other places, but we don't really have a target. Our goal is obviously to deploy our cash and to manage that we believe drives the highest return for shareholders. So, we'll be opportunistic where it makes sense and work with our Board and our advisers on that.
Philip Cusick: Thanks again.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Marc Swanson, for any closing remarks. Please go ahead.
A - Marc Swanson: Yeah. Thank you, Chuck. On behalf of Elizabeth and the rest of the management team at SeaWorld Entertainment, we want to thank you for joining us this morning. As you heard today, we are confident in our long-term strategy, which we believe will drive improved operating and financial results and long-term value for stakeholders. Thank you. And we look forward to speaking with you next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.